Operator: Welcome to the Las Vegas Sands fourth quarter 2016 earnings conference call. I will now turn the call over to Mr. Daniel Briggs.
Daniel Briggs : Joining me on the call today is Sheldon Adelson, our Chairman and Chief Executive Officer; Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, our Executive Vice President and Chief Financial Officer. Before I turn the call over to Mr. Adelson, please let me remind you that today’s conference call will contain forward-looking statements that we are making under the Safe Harbor Provisions of federal securities law. The actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. We also want to inform you that we have posted supplementary earnings slides on our investor relations website for your use. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you please limit yourself to one question and one follow up question so we might allow everyone with interest, to participate. Please note that this presentation is being recorded. With that, let me please introduce our Chairman, Sheldon Adelson.
Sheldon Gary Adelson : I’m pleased we continue to execute our strategic objectives during the quarter and delivered another strong set of financial results with companywide adjusted EBITDA reaching $1.12 billion US dollars, an increase of 6% over the prior year. Fully diluted earnings per share increased by 8% over the prior year to $0.64 per share. During the quarter our Macao operations achieved strong mass gaming revenue growth and delivered $610 million of adjusted property EBITDA including a solid first full quarter EBITDA at $95 Million US at Parisian. In Singapore, Marina Bay Sands continues to deliver steady cash flow supported by its mass gaming and non-gaming [inaudible]. The resilience and consistency in cash generation reflect both the strength of our business model and the geographic diversity of our cash flows which in turn underpins our balance sheet strength. Accordingly, we can and will continue to return excess cash to shareholders while maintaining our ability to invest in new development opportunities. We’re excited by the recent legislative breakthrough in Japan to permit casino gaming within integrated resort. We believe our pioneering track record of creating the [inaudible] integrated resort, our development experience, and our financial strength put us in the pole position to take advantage of an opportunity in Japan and other new development opportunities in the horizon. As I look back at 2016, the year began with still declining market revenues in Macao and the prospect of increased supply and competition. Despite these challenging conditions, we successfully opened another truly landmark must see destination resort in the Parisian Macao. The Parisian not only helped us drive double digit revenue growth in quarter four, but also greatly enhanced the critical mass benefits of our interconnected properties on the Cotai Strip as evidenced by our visitations growing 23% year-over-year in the fourth quarter. As you may recall, I had first indicated back in January last year that we were seeing signs of stabilization in mass gaming revenues in Macao and in June our mass gaming revenues saw positive year-on-year growth for the first time in two years. This encouraging trend continued into the second half of the year as our mass table revenues grew by 6% year-over-year in quarter three and further accelerate to growth of 16% in quarter four driven by the first full quarter of the Parisian. Our marketing efforts continue to pay dividends. Our Parisian Macao social media program has now exceeded two billion impressions. Two billion impressions. This awareness is translated into strong property visitation. Based on our customer surveys at the various points of entry in Macao since Parisian opened, the most visited casino resort in Macao remains the Venetian, but in second place was the Parisian. Our strategy was to create a critical mass of interconnected resorts on Cotai. With the completion of the Parisian we have almost 13,000 hotel rooms in four interconnected resorts, over 840 stores across four shopping malls, two million square feet of meeting and exhibition space, and four performance an event venues including our Venetian Cotai arena which can be utilized either for our MICE or for major entertainment events. This critical mass of product and amenities allowed us to cater to virtually every type of visitor. Business and leisure visitors to Macao will be able to enjoy all of this and more under one roof and one destination. Because of our industry leading investments in MICE based integrated resorts in both Macao and Singapore we are unique in the absolute scale of our cash flow as well as our dominate share of the industry’s cash flow. Scale, diversity, and critical mass allow us to outperform our competitors. This unique ability to generate consistent and industry leading cash flow in turn under pins our balance sheet strength. That balance sheet strength at 1.8 times net debt to EBITDA at the end of the fourth quarter, allows us to stay full committed to our development plans while continuing to return excess capital to shareholders. Again, this is unique in our industry. Now, let me give you some additional highlights of our results in Macao for the quarter. For quarter four, adjusted EBITDA from Macao operations was $610 million US, an increase of 5% against the prior year. Overall net revenues increased by 12% given the growth in mass gaming and non-gaming segments. There were some items that benefitted prior year’s fourth quarter and impact the year-on-year profit comparison which Rob and Patrick will explain later. Our cost efficiency programs have continued to track well. We achieved more than our stated goal of $60 million of incremental cost savings in 2016 and have realized more than $310 million US of annual cost savings since quarter one of 2015. Despite the significant increase in gaming and hotel capacity compared with the prior year quarter in the Macao market, our mass table gaming revenues grew by 16% year-over-year within which premium mass segment grew by 20%. We experienced broad based growth across both premium mass and mass segments underpinned by our ability to drive increased patronage with hotel accommodations, shopping malls, and entertainment events. One item to note for the fourth quarter, we held towards the low end of our expected hold range in mass tables. We estimated low hold in mass tables particularly at the Parisian impacted our EBITDA negatively by between $15 million and $20 million US. During the quarter hotel occupancy across our portfolio increased by almost four percentage points against the prior year to 89%, despite significant growth in both our own inventory and the inventory in the Macao market. This again, highlights our advantage during peak periods with the higher hotel occupancy feeding positively into our gaming and retail revenues. In the market where peak periods, the weekends and holidays, matter more than ever before and where mass market customers will generate the lion’s share of [inaudible] revenue and profit [inaudible]. Our capacity advantage was further strengthened by the addition of the Parisian. The Parisian Macao generated $95 million US in adjusted EBITDA in its first full quarter of operations. Mass table and slot revenue per day at Parisian was $2.2 million US, despite low non-rolling hold while hotel occupancy was 91%. The addition of the Parisian to our Cotai Strip development really takes our critical mass and diversity of offering to another level. This is the only MICE based integrated resort complex of this scale in the world. The completion of the bridge between the Four Seasons and the Parisian in November has further increased the synergies in traffic and patronage between our properties. The foot traffic of approximately 14,000 per day in the month of December. It is also worth noting that despite the recent increase in the supply of luxury retail in Macao, our retail sales at the Four Seasons Retail Mall grew by 6% in quarter four. In summary, we regard it as a privilege to contribute to Macao’s success in realizing its objectives at diversify its economy. Supporting the growth of local businesses, providing meaningful career development opportunities for its citizens including through our Sands Academy and reaching its full potential as [Asia’s] leading business and leisure tourist destination. We have steadfast confidence in both our and Macao’s future success. Now, moving on to Marina Bay Sands in Singapore. We delivered a solid quarter at Marina Bay Sands with EBITDA of $366 million US. Our mass win per day was in line with the prior year. At the same time Marina Bay Sands continues to service the most important reference site for emerging jurisdictions that are considering large scale integrated resort developments. Now, let’s move on to my favorite subject, the return of capital to shareholders via dividends. The Las Vegas Sands Board of Directors last year improved an increase in our recurring dividend program of the 2017 calendar year to $2.92 US for the year or $0.73 per quarter. We remain committed to maintaining our recurring dividend program at both Las Vegas Sands and Sands China. Recurring dividends are the cornerstone of our return of capital policy and we remain committed to increasing those recurring dividends in the future as our cash flows grow. Our industry leading cash flows, geographic diversity, and balance sheet strength enable us to continue our recurring dividend programs while retaining ample financial flexibility to invest for future growth and pursue new development opportunities. We achieved many important strategic objectives in 2016. My original vision for the Cotai Strip in Macao was further realized with the completion of the Parisian. The new property enjoyed a strong opening against a backdrop of increased competition and has rapidly become a new landmark destination in Macao. The structural advantage from our unmatched critical mass and diversity of offering was evident in our strong financial results in the quarter and the year, both in Macao and globally. All this enabled us to look ahead to the future with confidence. We have a strong organic growth outlook, we’re in a great position to pursue new development opportunities, and we have both the intent and the financial flexibility to continue to return excess capital to shareholders. That concludes my prepared remarks and I want to thank you for joining us on the call today. Now, let’s take questions.
Q - Shaun Kelley: I just wanted to maybe start with just the revenue picture in Macao. Obviously, it feels like on a year-on-year basis things have improved quite meaningfully, but as we start to look at the sequential movement between Q4 and Q3 it feels like you didn’t pick up a lot of market share when we compare your overall revenues to the market. So, I was kind of curious as Parisian’s ramping, do you think there’s more opportunity on the revenue line and how do you feel about your sort of steady state or your current market share?
Robert Glen Goldstein: Are you referencing all the portfolio or just the Parisian? Is your question about the Parisian’s future or the whole portfolio?
Shaun Kelley: It’s really the whole portfolio Rob. If I [inaudible] back to the envelope it looks like we’re looking like share was probably in the low 23% range and was actually slightly higher in Q3 than it was in Q4 when you had a full quarter of the Parisian.
Robert Glen Goldstein: Right. Let’s put Macao in context. Q2 of ’16 we did less than $500 million in EBITDA and yet in Q3 and Q4 cumulatively we did $1.240 billion of EBITDA. We successfully absorbed the Wynn opening and the Parisian opening. The Parisian did over $115 million in EBITDA for Q4 plus the 17 days it was open in Q3. In six months our run rate has improved to roughly based on Q3 and Q4 to about a $2.5 billion annual EBITDA run rate. The big difference between Q3 and Q4 from my perspective is the hold percentage on the mass table side. It’s staggering these numbers, but we’re throwing off $5 billion this quarter of table drops so if you adjust the 1.3% miss Q-on-Q we were up $1.3 in Q3-over-Q4. It’s about $60 million of topline revenue. I know it’s not statistically important, because in the long run when you’re dropping $20 billion we’ll get to the right number, but we held less in Q4 than in Q3. Adjusted, we assume that number popped by about $60 million to $63 million. Again, we’re absorbing a lot of additional capacity. We have a lot of belief that the Parisian is going to get stronger and stronger. We have held incredibly poorly there, unfortunately, Sheldon referenced in his opening remarks, we actually held about 18% on a volume that was about $900 million, so that’s disappointing. The Parisian should have had another $15 million to $20 million to its numbers. It didn’t. That also holds true at the [SEC] did less, did about $19 and the same with the Plaza, so we had a little bit of, I wouldn’t call it bad luck, we just took the lower end of the range which adversely impacted the topline. On a go forward basis, we couldn’t be more bullish. We think we have the right assets, we think we have, in a market that’s clearly about scale and capacity, the lodging, the retail and gaming capacity to service the demand and that’s especially true, we believe, on high volume weekends and holidays like the one we’re going to have next week. This is the future Macao and we are at the epicenter of that future and the growth. We are very, very much a believer in double digit mass revenue on the tableside will translate very well in the future for us and we’re a big believer in Macao. We’ve come a long way in the last six months from where I think was not scary, but concerning time, in Q2. We feel a place of strength here in January. A lot of confidence in the future and a lot of confidence in the revenue growth.
Shaun Kelley: Just a quick follow up, did the promotional environment, or do you think the competitive landscape pick up a little bit in Q4 as people are starting to try and stabilize with what’s going on in the market? Did it feel differently than it felt for the first few weeks after the Parisian opening?
Robert Glen Goldstein: There’s always going to be a market [inaudible] experienced this massive [inaudible] drop of 70% and it’s just recurring a little healthiness. There is going to be some occasional signs of promotions. But again, in a mass market it is difficult to overspend, unless you’re just being silly about it. Can you provide a few meals or a few meals? Yes. A lot different than a high roller environment where the comp excess can be excessive. Do I think there’s a few things here and there? Yes. But, do I see in our portfolio or in others indications of massive over incenting or promotions? I do not. I think the market remains pretty disciplined. We all recognize that in the end you’ve got to deliver margins and you can only give away so much against a mass market. I don’t think that’s the problem, I just think we need to see sustainable mass table growth and acceptable range of the whole percentage, to get us to a 650 or 675 number in the future. I don’t think we’re that far off in fact.
Operator: Your next question comes from Joe Greff - JP Morgan.
Joe Greff: Rob, just a question on the Parisian ramp throughout the fourth quarter. Would you say it adjusted for the high VIP holds and adjusted for the low win in premium mass? Would you characterize the property’s ramp as pretty consistent or accelerating throughout the quarter, or was it more even or did it decelerate through the quarter? If it was the later, to what would you attribute that?
Robert Glen Goldstein: I will reiterate what I said earlier, that is when you drop $900 million you hold only 18%, you kind of say to yourself you lost $25 million to $30 million right there and that’s not a pie in the sky number. Our historical holds is in the 21 to 22 range. So, I right away said, “Okay, give yourself a $25 million to $30 million kick there in a positive direction.” The VIP hold was a little high but it doesn’t really mean that much at the end of the day, it’s high but the truth is that that segment isn’t the key segment, it’s dwarfed by the importance of the contribution from the mass. It’s much more important. I think that it was a steady ramp. I think in the Parisian there’s a couple things to think about. The bridge opened up in late November early December and that’s been a positive towards the ramp, that’s adding more body count inside there. Secondly, I mentioned the hold percentage which you can’t refute the fact that we should pick up three points there over the course of the year and we will. Three, I think the Parisian is going to keep ramping because as Sheldon referenced, two billion people have now went online and have looked at the Parisian somehow someway. That’s a staggering number from anyone’s perspective. Lastly, I think we’re somewhat surprised at the strength of the premium mass demand for the Parisian. We positioned it more as a mass property. We’re rethinking the room mix, we’re adding some more suite product. It won’t kick in until late in ’17. My point is that we’re just so pleased at the results thus far. We’ve got a $400 million plus run rate. It should do a lot better once it beats a few more customers. We have some [inaudible] and good for them. One particular customer, she wins every day and she’s doing very well and she affected the numbers. But, as we get the suite product right, as those impressions keep building, as that bridge keeps maturing the ramp will continue. I didn’t see a real change in numbers, it was pretty steady throughout. The Parisian is an unqualified winner. Any time you get $100 million roughly in the open like we did the first quarter and some change, that’s an impressive start but, there’s better days ahead for the Parisian. Lastly, I think the connectivity between Four Seasons, Venetian, and someday we’ll get the other produce across to SCC, that’s going to make that racetrack again, give us a very, very exciting set of assets all integrated working together, 13,000 sleeping rooms, 800 stores. The Parisian has got some great legs ahead of it.
Joe Greff: Sheldon, I was hoping maybe you could give us updated thoughts on any progress you might be making with monetizing or partly monetizing the retail mall at Singapore. I know you’re some months away before you have permission to do that, but are you premarketing that, are you soliciting levels of third-party interest? If you could give us some sort of an update.
Sheldon Gary Adelson: We are in preparation with our bankers to prepare that property to sell. We can’t sell it until March or April of this year, 2017. It isn’t going to take that long. The interest we have is that it is the highest trophy mall there is in the world. We anticipate almost an unprecedented price to sell 49% of it. We’re preparing but we can’t sell it until March anyway. We want to give enough time to the perspective buyers to do their due diligence and from what we’re told by a lot of people it is the best trophy mall there is in the world. We expect to receive a very heft, very significant price for the 49% we’re willing to sell.
Operator: Your next question comes from Harry Curtis - Instinet, LLC.
Harry Curtis: Just a quick follow up in Macao. You’ve walked through a little bit of the impact of bad luck, but according to the press release in Macao you did play lucky overall by about $44 million, so you must have held reasonably well elsewhere. Can you give us a little bit more color on that? I think most of us haven’t really had time to go through the details of the press release?
Robert Glen Goldstein: To put it in perspective, less than 10% of our business emanates form the junket segment that we reference in the luck factor. It may have thrown off a few more, but I’m looking at it right now on the whole portfolio, the profit segment coming out of junkets is roughly 9% what it is out of mass tables. We have not historically normalized mass tables, perhaps we should rethink that. To put it in perspective for you, if we dropped $20 billion this year, which we think we’ll do more than that, and you think about range of $20 billion to $22 billion, two points could be $400 million. At the margin it’s probably about a couple million EBITDA, so obviously, very impactful. In the past the market’s always looked to normalization of the higher roller, the junket business, when in fact, in this market today, especially for our portfolio it’s not all that relevant. While you’re actually correct, we play lucky for a few million, the truth is the junket business just isn’t that impactful relative to the mass business and the mass business, the miss, was $67 million, depending on what number you use whether you use 2% or 3%, so it kind of negates it and adds some more volume. I’m not pretending that we didn’t play a little lucky in the junket, we did. But again, on a historical basis that’s been the focus when in fact, the focus has to shift at some point to the huge amount of money we’re doing. I think in the end the volatility in this mass segment is always being trumped. In the end it works out just fine because our volumes are staggering, they’ll overcome the volatility. But, quarter-by-quarter my point is a miss like this, we could have easily had a $50 million increase, $60 million increase, had we held a point more. You wouldn’t have noticed it, it wouldn’t have appeared statistically important but it’s a fact and something you need to consider in the future. I think the junket thing should be minimalize based on the overall contribution to EBITDA mix.
Harry Curtis: I’m still a little bit confused. When you guys report 566 of hold adjusted property EBITDA, is that only adjusting the junket piece and not the mass piece?
Robert Glen Goldstein: Correct, you’re absolutely right. Which, it seems like we’re out of synch with what’s happening today, because you’re absolutely correct, we don’t adjust the hold percentage on the mass just on the junket and those numbers reflect that. That’s like the Parisian, the Parisian held a big lucky in the junket, but it was dwarfed by the $25 million to $30 million it could have gotten off the mass tables. Our normalization may be a little bit inaccurate in terms of what’s happening in the market today. We may be alone, because no one does as much mass business we do due to the amount of tables, hotel rooms, etcetera, but nowhere I can think of is there $20 billion of table drop, mass table drop, in any jurisdiction. Again, that’s why I told you earlier, a couple of three points either way, $400 million, it’s impactful.
Harry Curtis: Sheldon, if you could take a minute and describe what you believe will be the process from here in Japan and your thoughts on timing and possible potential ownership interest there.
Sheldon Gary Adelson: We’ve had somebody in Japan this past week who just came back yesterday, or the beginning of the week and the feeling about the partners is not very strong. They say that it’s not likely to be in the law. The law is being formulated by, I think, the interparty committee that was formed before the first law passed. They have one year to submit an implementation law that will determine the who, what, why, when, where, and how of how they’re going to establish the integrated resort with casino bill. I don’t have much more to offer than what you see in the press. I’m going over there in about three weeks to give a talk at an event there, in the third week of February and I’m optimistic. Look, they’re basing this on our Singapore property. Prime Minister Abe has visited the property. He was very impressed with it and so I think it’s going to be modeled after our property the Marina Bay Sands in Singapore. I’m optimistic and people tell us we’re in the pull position in terms of getting the concession. Some people say the new bill that has to be done within a year could be less than a year or it could be the whole year. I really don’t have anything new to add to that other than what you’ve read in the press.
Operator: Your next question comes from Robin Farley - UBS.
Robin Farley: I wonder if you can give a little color, there have been some comments where permits for your management team in Macao that are not Macao residents are not going to be renewed. I wonder if you could talk a little bit if that was expected by you and would that affect anything that’s in place now?
Robert Glen Goldstein: I’m not sure what you’re referencing. I’m a little taken aback. What have you read that we didn’t read?
Robin Farley: It was a comment that there’s a goal to target a certain percent of Macao management, and originally this was a 2020 goal, but the comment in the papers in the last day is that they’d maybe like to see that this year instead of 2020.
Robert Glen Goldstein: I’m not comfortable referencing what you’re saying but I think the truth is, our team is probably already there. If we’re not there already I’d be surprised because I was there last month and I think most of our people at the management levels, the people I deal with every day the 100 or so people on the management side are all holders of the proper identification. I don’t think they have an issue.
Sheldon Gary Adelson: I read it last night in the clippings. They’re proposing that by 2020 I think it is, sometime in the future there’ll be 85% of the senior management should be Macanese.
Robin Farley: It was a 2020 suggestion that they might want to see this year was what the media was suggesting.
Robert Glen Goldstein: They can look at it right now as far as I’m concerned. Our team, I look on the table there and I think we’re there. I don’t think we have any issues because we’ve been doing this for the last two years, we’re big believers in that approach and support the government’s agenda. We’d like to have all Macanese people and so I don’t think we have an issue today and by 2020 I’m sure we won’t have an issue. I don’t think it’s relevant to us.
Operator: Your next question comes from Felicia Hendrix - Barclays.
Felicia Hendrix: Rob, regarding some performance in Macao, I just wanted to revisit. For Sands Cotai Central and Venetian in the quarter, just kind of looking at the numbers that you reported, might say that the Parisian was cannibalizing these properties. We talked a lot about holds so maybe it makes that noisy or maybe it’s because the connectors not up yet, but I was just wondering if I could hear your take on that.
Robert Glen Goldstein: Let’s start with the fact that the new property, obviously you know Galaxy, Studio City, Wynn Palace, you’re talking about 4,500 hotel rooms and 600 new gaming tables in the last year and a half and so obviously, we’re looking at a huge increase in capacity both lodging and gaming. Then, you add the Parisian and then of course the SCC, the St. Regis, with another 3,400 rooms, another 125 tables, so huge increases. As it relates to the Venetian having just been there, I don’t know how much more we can do at the Venetian. It continues to be a billion plus property. I don’t think it’s being cannibalized. I’ll tell you one thing we are experiencing at the Venetian is the Parisian is a great looking property that people gravitate to. The sleeping rooms have not been as well received by some of the better customers who then move towards the Venetian and Four Seasons. I think if anything, the Venetian had a pretty good quarter. It held fine, it had no issues with luck, it had plenty of business across the board. If it runs at 1.1 or so I’m pretty happy with that performance. We’re redoing some rooms there and making the floor fresher and newer. We keep making sure that place stays at the number one position in Macao. But as far as appeal and people wanting to go there it just continues to amaze me how powerful it is after a decade of operation. The SCC is a different story. SCC I think is the polar opposite of the Parisian meaning that the SCC it did have a very tough quarter in terms of hold. It held on the mass 19.1 on a basis of $1.4 billion so that didn’t help that we clearly left behind significant dollars there. Based on a 2% or 3% move it could have been $20 million to $30 million more. Having said that, I think the weakness in SCC might come from the fact that the Parisian is so damn attractive that the mass customer just gravitates to the Parisian. It’s a fact of life. On the flip side, the who wants to sleep in a better facility might go back to the SCC after he sees the Parisian or the Venetian. It doesn’t have the connectivity. If anybody would tell me if one property gets sort of bit I would point to the SCC. I think the Parisian has been helping the Venetian and helping the Four Seasons Plaza property. I think we’ve got some things happening which we can’t talk about in this call at SCC that will help its attractively. Both there’s a new attraction coming in there in the future as well as the bridge will come along. Our connectivity bridge from the SCC to the Four Seasons will help the SCC.
Sheldon Gary Adelson: To the Parisian.
Robert Glen Goldstein: Right, to the Parisian. I think in the end the side of the street where the Parisian, and the Venetian, and the Four Seasons is feels very good, not cannibalized. If anyone’s vulnerable a bit, it could be the SCC. Most of our high end business stays there because of the room product. It doesn’t have the mass business we’d like to get over there. It had a disappointing quarter from my perspective, down $50 million from Q3 and nowhere to hide that. A disappointing margin, a little bit of hold percentage probably could have popped through, over 31%, but you’re right if anybody was affected it may have been the mass customer who now finds his or her way to the Parisian.
Felicia Hendrix: Just reminds us when the connector opens?
Robert Glen Goldstein: The bridge will open end of ’17. We have so many different things happening. There are a couple of other things happening at the SCC, but the connector bridge was approved by the board, it’s in develop mode now, so Q4 ’17? A - DD We’re talking about the pedestrian bridge, not the bridge from Hong Kong Airport?
Sheldon Gary Adelson: It’s essentially a raised air conditioned sidewalk connecting what we refer to as parcel six which is the Sheraton at two towers at 2,000 rooms each, 2,000 keys that connects to the bridge. The connection gives us a complete racetrack type connection. It’s unprecedented anywhere in the world that there are 13,000 rooms connected without having to leave the building. You don’t have to go outside to connect all those rooms of different price points and all that retail, 840 or 850 retail shops, and the entertainment and the gaming, and the restaurants. There’s no place in the world like this. Once we get that bridge open, but we’ve got to promote the heck out of it so that people will understand it’s a once in a lifetime kind of experience.
Robert Glen Goldstein: We need government approval on that bridge. We don’t expect it to be an issue, but we are waiting for government approval before construction begins.
Felicia Hendrix: Moving on from that now, I wanted to ask about the Parisian and the EBITDA margins there and where you might expect margins to stabilize for the property? Or, maybe looking at it another way, which property should the Parisian be most similar to in terms of op ex per day?
Robert Glen Goldstein: That’s a good question. Sheldon would say the Venetian and I would agree with him. I think the Parisian, by the way let’s be clear, a couple of things to think about, a brand new property just getting its sea legs. We’re spending more on advertising and more on promotion to get that thing off the ground. We’re very proud of the money we’re spending, we believe it will yield large term dividends, but short term we’re spending money there to make sure that property gets significant awareness. We think we’ve been vindicated so far because it’s performance is pretty good for a starting property. Two, I had mentioned earlier we were thrilled about the premium mass demand but a lot of these customers don’t want to stay - we don’t have enough accommodations for them so we’re going to accelerate some room growth into some larger rooms for some of these better paying mass who now will stay at SCC, or Wynn, or Galaxy or somewhere. There, I think your margins should resemble the Venetian down the road with one exception, it will never have the retail portfolio we have at the Venetian, obviously. But I don’t think it’s acceptable to be at [inaudible]. To Harry’s comment a couple of calls back, we on the junket side at the Parisian, we did play luck at 4.2%, but the contribution is not that terrific from the junket side. The fact is had the Parisian looked like the Venetian, it would have picked up $33 million more in mass table win. The Parisian is going to be a machine of mass table play, it just is and as that margin will move, as that EBITDA will move, as that hold percentage drifts to a more normalized range. If this thing had picked up three or four points, you could have had a $125 million quarter, but it didn’t. It just didn’t play that way with luck. We had a couple of very exceptional pieces of bad luck which is fine, that will even out in time. But once we get that thing fully ramped, I don’t know if we’ll ever get the retail contribution because again, the Venetian retail is much larger and much more impactful, and we’ll never get the room rate the Venetian gets, but I do think on the gaming side we should be able to achieve margins that resemble the Venetian and it should hold its way. I think the Parisian has some great days ahead of it once we get the rooms right, get the bridge fully operational, pull out some of the advertising, and opening costs. This is a brand new building, it’s an infant and infants take a little more care and more money to get them there. The Venetian is an old girl, she’s been around 10 years, she’s made $10 billion, she’s not quite an infant. When we get this thing in place we have a wonderful racetrack of properties, as Sheldon has talked about it before, it’s all integrated, it’s powerful stuff. I think the Parisian is going to perform very, very well and you’ll be pleased in the future with how it shows up in the margin line.
Operator: Your next question comes from Carlo Santarelli - Deutsche Bank.
Carlo Santarelli: Sheldon, you talked a little bit about the potential for a 49% stake sale of the Singapore mall, any sense of how you’re thinking about proceeds from that in terms of repatriation of the cash and maybe intentions you would have with it were you to be successful in that sale?
Sheldon Gary Adelson: Not should we be successful on the sale, we will be successful. We haven’t decided what we’re going to do with it. We’re waiting to see. There are more noises coming out of Korea now that Japan is talking about legalizing casino gaming. There are more noises coming out of Korea. I’m not saying it is as good a prospect right now as Japan has shown itself, but it could happen. Korea could happen. Before we decide what we’re going to do with the money, we’ll want to see what the development opportunities are. We can always get money to develop properties. We have a very good relationship with the bank. We rewrote one of our bank loans for 25 basis points less and we didn’t give them any more. We just thought we should have 25 basis points less. Our CFO came up with the idea, he called the banks and they just dropped the rate. I asked him why he didn’t ask for 50 basis points and maybe even 100. When I think back to the time when I was actually poor and it took everything I had to borrow $10,000 from a bank and when I look at money now I look at all the banks we have in our portfolio and I see they’re all willing to go to the max. We can get a number of banks each that will give us $400 million; each. We can get plenty of money. But, we haven’t decided what we’re going to do with it yet.
Carlo Santarelli: Rob, if I could, obviously the hold issue or I should say the margin issue has been kind of talked about quite a bit on the call. One of the questions that I kind of have is as you think about the promotional environment, and it looks like your promos as a percentage of mass gaming revenue in the period were up about 90 bips year-over-year, I’m assuming a lot of that relates to the Parisian coming online, etcetera. But, could you maybe talk a little bit about what you’re seeing in terms of promotional activity on the mass and what maybe some of the competitive response has been?
Sheldon Gary Adelson: I just want to finish my answer to your question before. We’re looking at potentially $3 billion to $3.5 billion US on the sale of 49%. That alone tells you it will be the most expensive mall every sold in the world.
Carlo Santarelli: Sheldon, when you say we’re looking at, is that kind of where indications of interest have been or is that kind of what you’re targeting as what you want for the sale and maybe they’re on in the same?
Sheldon Gary Adelson: I would really like to see [inaudible] a full handle. I think that’s unrealistic. I’m pretty sure that we’ll end up in that range, it’s what people are talking about. As a matter of fact, I’m like Donald Trump, I think I’ve been a good negotiator, I might want to do a little better job than what the market wants to do for us.
Robert Glen Goldstein: Having been doing this for too many years, I was in Macao last month looking at that very issue with our team and visiting properties. One of the great things about our business is the high roller business is always fraught with over spending, and over promotion, and over incenting. It’s just the nature of the beast, because when people lose that kind of money the sales people in management tend to gravitate and spend too much. It has just been a part of my world for 35 years. In Macao that beast has gone away because it’s become a mass, premium mass market. There’s not as much to give away. Free rooms, what a free bus ride, a comp’d meal. I wish we could give away more rooms, because when we give away a room we make a lot more money than when we sell a room. Unless, you look at more aggressive comping of rooms and dropping theoretical rates as over comping; I don’t. If you’re getting $1,000 a night and you drop it to $700, that’s still a very good investment in your gaming floor and use of your lodging capacity. I don’t see it. I know people want to hear that there’s over incenting and over promotional activities in Macao, I just don’t see it. I think we deal with some very, very smart people over there. They’re patiently waiting. Are there more buses going into the terminal and more people getting on frequent flyers? Yes. Are there more free rooms? Maybe. But, I don’t think over incenting is the issue. To your comment about our margin, I think that margin gets cured very quickly when you normalize or you simply give yourself a higher end of the range. I don’t want to make it sound like we under held by some dramatic number, it wasn’t, but the point is on $20 billion, $20 billion think about that number, a few points means a lot of money. We can look very smart next quarter, we hold 22 instead of 19, all of a sudden the margins will go up by 4% or 5%. I think that’s the bigger issue and so on a quarter-by-quarter basis when you examine these figures and look at margins with a very strong look, I think that’ll move depending on a little bit of luck and hold percentage. I don’t think it’s going to be an issue of over incenting or over promoting. I mean that is true for our competitors as well as us. I don’t see Macao as a market out of control.
Carlo Santarelli: Do you think the statistical hold percentage on the mass side in Macao, is 22 the midpoint of where you think that number should be theoretically?
Robert Glen Goldstein: I don’t have a good answer and I’ll tell you why. We think it’s in the range of 20 to 22 and I think it’d be crazy to try to pin down an exact number, I think a range is more acceptable because, there’s always issue of false drop, there’s things you can’t always take into account. But, I think in the range of 20 to 22 is a reasonable range. But, my point is even though it may not be statistically important, when you think about 19.2 versus 22.2, three points on a billion dollars, on $10 billion, on $100 billion, the movement is significant, it could make these results skew dramatically in our favor, or as in this quarter we look a little weak on the margin at 32.9 versus 36.5. But, last quarter we held 22.4 and we held this quarter 21.1. 1.3% on $5 billion, it causes some margin erosion. My point is not that we’re looking to control it or give you an exact number, but bet aware that is something that is going to get more and more important. We’ve built something in Macao. What we’ve put together is unique and 13,000 rooms, and all those different hotels, and all those retail, and all that gaming ability. This weekend the numbers are going to be off the chart huge and so we could hold lucky and have an incredible weekend or miss by five or six points and not. It’s not something we can control, it’s not something I want to spend more time on, but it’s a fact of our world that you can’t ignore that massive number. It’s much more important than a few points on the junket side.
Operator: Your last question comes from David Katz - Telsey Advisory Group.
David Katz: What we’ve observed, and heard about, and read about over the past three to six months are a couple of things: some increasing comfort on the part of junkets and VIP players with returning to Macao; and second, some changes in the Chinese economy and commodity prices that have, I think, by all accounts increased performance and our expectations over the past few months from where they would have been three to six months ago. That I think appears somewhat momentary but I’d like your views and context around that and how sustainable you think the GGR trends that we’ve been seeing and hearing are throughout the next couple of quarters, or the remainder of the year in whatever context you can discuss it?
Robert Glen Goldstein: We’re dead flat year-on-year on the junket volume. We’re at 10.89 versus 9.05 so I don’t see us experience it. Where I think we do experience it, gratefully and thankfully, is in the premium mass side and the mass market. That’s where I think we’re seeing the impact and the increase in play. The reason I’m grateful is because it’s much higher margin business and it’s, I believe, much more sustainable than the junket model. I would be not being honest with you if I told you I understand whether commodity prices impact that business or not. I do sense in China and I do sense in our business in Macao, a return to a little more confidence by the customer. Our sales people tell us that. we see more belief in what’s happening in China and more comfort. But, for me to make a macro statement that’s going to be across the economy, I can’t do that. I can only tell you what we hear. Only 1% or 2% of all China visits Macao. Our sample size tells us that our premium mass customers feel better, they’re spending more, the volumes indicate that and that’s the bread and butter of Macao, not the junket business. We believe that’s sustainable. Our model will be vindicated and will be a big participant in the growth of those numbers in 2017 and beyond. That’s my take on that.
Sheldon Gary Adelson: The clippings from Macao say that [inaudible] the new head of the DOCJ or DOCOJ, whatever it is, it’s an acronym for the Portuguese name on what we call the gaming control boards. He said that there is only going to be about 120 or just a couple more junket licenses given out. When I think of how many there were in 2014 before the drop back in the business, there were 250 to 270 junkets licensed. Now, there’s only going to be 120. There’s a big difference and when you’re talking VIP versus mass and premium mass, you’re talking like a win is a VIP house, we’re a mass and a premium mass house. We do have some of the VIP market, but to us it’s not as important, it’s only a single digit percentage of our total EBITDA.
David Katz: If I can just follow that up and ask about capital allocation. Your position on dividends has always been clear, but as we look forward if you could talk about cap ex that you may be thinking about for the future, share repurchase, and how you’re thinking about that as well as your well understood dividend policy, that would help.
Patrick Dumont: If you look on page 32 of the earnings presentation that we posted to the website, you can see that there’s a tail off in our cap ex as our development projects complete over the next two years. The key thing is that as we continue to grow EBITDA and grow cash flow from the operating assets that we have, we’ll also have a reduced cap ex burn that will hopefully even out to be approximately $500 million of maintenance cap ex per year. Our cash flow profile will change materially from where we are today, assuming that we’re able to achieve this. The key thing here is, while we said that the dividend is a cornerstone of our internal capital policy, and you can see the board and the chairman’s commitment to increasing the dividend overtime as our cash flows grow, there’ll also be an opportunity for us to return cash through share repurchases as these cash flows materialize. The other thing is hopefully we’ll have an opportunity in Japan, or an opportunity in Korea, or other new growth in a high growth jurisdiction where we’ll be able to deploy this capital and get a very high investment return. Do we feel like we have the financial flexibility with our balance sheet to be able to return capital in the near term? As our cap ex tails off we’ll be able to return of capital and hopefully we’ll have an opportunity in new jurisdictions to really grow shareholder returns by investing in new MICE based integrated resorts. That’s kind of the blueprint, it’s what the board talks about at every meeting and hopefully as time progresses we’ll have an opportunity to make those investments to grow and create shareholder value.
Operator: This concludes today’s conference call. You may now disconnect.